Christoph Barchewitz: Good morning, everyone and welcome to Global Fashion Group's Q4 and Full Year 2025 Results Presentation. I'm Christoph Barchewitz, CEO of GFG and I'm joined today by our CFO, Helen Hickman. I'll start today with an update on the strategic actions we have executed over the past 3 years, followed by an overview of our 2025 regional performance. Helen will cover results for the group and the outlook. Then we'll open it up for Q&A. To start, I want to briefly remind you of what underpins GFG's long-term potential. We hold leading positions across large fashion and lifestyle markets where online penetration continues to increase over time. We serve these markets with a tailored customer-centric approach that it reflects local needs and we maintain strong relationships with both global and local brands. These partnerships are supported by flexible business models that help brands grow in complex markets. We also have a unique operational footprint, supported by proprietary technology and scalable infrastructure, which enables us to deliver a fashion-specific customer experience efficiently at scale. With these foundations in place, we are on track to deliver profitable growth and positive cash flow across our markets. And we do so from a position of financial strength with a healthy balance sheet and a substantial net cash position. This long-term potential is underpinned by the work we have done to reset and strengthen the business. Looking back to 2022, 2 main events have shaped the challenges our business has had to navigate over the past 3 years. One, a difficult post-COVID macroeconomic and fashion e-commerce environment that significantly depressed consumer demand and led to a decline in our active customer base and order volumes; and two, the sale of our CIS business due to the Russian invasion of Ukraine, which significantly reduced the scale and profit of the group. This initiated a reset period for our business. We have successfully actioned this since 2023 by evolving our business model, strengthening our customer flywheel and driving cost efficiency. On business model evolution, we strengthened our brand partnerships and rationalized our offering. We took a prudent approach to inventory. And since the end of 2022, we reduced inventory levels by 43% on a constant currency basis. We curated our assortment by reducing the brand count by 26% as a result of removing long-tail brands from our platforms. On customer flywheel, we dedicated our attention to our high-value customers and increased gross profit per active customer by 14% on a constant currency basis. We delivered this step-up all while applying discipline with marketing costs remaining stable at 7% of NMV each year. Finally, on cost efficiency, we reduced and simplified everywhere across the group. From 2023 to 2025, we reduced our total cost base by EUR 106 million, a 16% reduction in constant currency and released EUR 88 million from working capital. So now let's look at how this reset period has translated into our financial results. As mentioned, we've been operating in a period of demand downturn, which resulted in EUR 168 million reduction in NMV from 2023 to 2025. FX devaluation against the euro accounted for about half of this reduction. Despite facing a lower top line, we substantially improved profitability and cash flow. Adjusted EBITDA improved by EUR 62 million since 2023. Normalized free cash flow improved by EUR 31 million since 2023. Let's now turn to our regional segment results. By executing with discipline across all aspects of our business, we have significantly strengthened our financial operating model. As a result, we delivered a positive adjusted EBITDA for all 3 regions and the group in 2025. This milestone was driven by a return to NMV growth for the full year in our 2 largest regions, ANZ and LATAM. While our reset actions have built stronger foundations group-wide, each region is currently at a different phase in their journey to profitable growth. Starting with ANZ, which now represents half of the group's NMV. ANZ has completed its transition and is now operating as our profitable growth engine. In 2025, ANZ's NMV grew 6% year-over-year in constant currency. Profitability was strong at EUR 26 million in adjusted EBITDA, marking a EUR 28 million improvement compared to 2023. ANZ has strong cash conversion and delivered a positive normalized free cash flow. LATAM represents 30% of group NMV and also delivered 6% NMV growth in 2025. LATAM has achieved a significant turnaround moving from a declining business with negative EUR 22 million adjusted EBITDA in 2023 to a positive EUR 3 million in 2025. Cash flow has improved materially as well with LATAM now near normalized free cash flow breakeven. As the initiatives we put in place continue to flow through, we expect LATAM to move toward the end of its reset phase and into a more profitable growth position. SEA is our smallest region at 21% of group NMV and continues to face a decline with NMV down 15% in 2025. Despite this backdrop and thanks to its strong cost discipline, SEA has remained resilient on profitability, delivering a positive EUR 3 million adjusted EBITDA in 2025 and was also near breakeven on normalized free cash flow. SEA's financial resilience is also partly attributable to its high Marketplace share and sizable Platform Services business. Let's look at that next. Evolving toward a platform-led model by scaling our Marketplace and Platform Services is a core part of our strategy. In 2025, Marketplace represented 39% of group NMV and Platform Services represented 4% of group revenue. Through our reset phase, all regions contributed to our progression toward our group goals of 45% Marketplace share and more than 5% Platform Services share. SEA is the most advanced in this evolution and is also the only region so far to offer a solution where we use a single stock pool to fulfill orders across multiple brand partner channels. This service is the main driver behind SEA's step-up in Platform Services revenue from 2023 to 2025. In ANZ and LATAM, we expect Marketplace to continue expanding, particularly following the rollout of Fulfilled by in 2023 and 2024, respectively. Additionally, our growing marketing platform service is expanding across these regions, serving as another key driver of profitability. Let's now take a closer look at ANZ's results. 2025 marked a clear step up forward -- step forward for ANZ as the region returned to growth and delivered stronger profitability. NMV and revenue steadily grew each quarter, including Q4 with NMV up 6% and revenue up 3% on a constant currency basis. Active customers also closed the year up 4% year-on-year. ANZ achieved a record full year gross margin of 49%, up 2 percentage points from 2024 and we held at the same level in Q4. This flowed through to adjusted EBITDA margin, which expanded 3 percentage points to 7%. ANZ's strong performance has been driven by 3 key areas: a scaling platform mix, more efficient infrastructure and stronger customer engagement. Looking at platform mix. We are strengthening our fashion proposition while shifting to a more inventory-light model. In 2025, more than 20% of NMV came from our own brands and exclusive partnerships, helping us differentiate ourselves. At the same time, our brand partners are participating in our partner offerings. Marketplace now makes up 36% of NMV and 115 brands are live on Fulfilled by since we launched it in 2023. This gives customers more choice and gives brands an efficient and reliable way to grow with us. Additionally, our marketing services revenue is up 36% since 2023, indicative of another great value add for our brand partners. The second major driver is our more efficient infrastructure. With our new order and warehouse management system and expanded partnership with Australia Post, we've had a delivery upgrade. About half of all orders are now delivered in under 48 hours across Australia and New Zealand. In Q4 alone, delivery speed in major cities improved by 10% year-over-year. In Australia, we are the only fashion player to have rolled out Saturday standard delivery at scale for East Coast metro areas. And in New Zealand, we have achieved a meaningful improvement by reducing delivery times by 15% and introducing express next day service for key metro areas. These operational wins support our profitable growth momentum and our third driver, customer engagement. Our Got You Looking masterbrand campaign continues to demonstrate strong results. Amongst the campaign's target audience, unprompted awareness is up 70%, customer trust has increased 62% and 57% of viewers take action after seeing our ads, meaning more visits to the ICONIC app and site. To further strengthen the ICONIC's customer flywheel, we launched the Front Row loyalty program in October last year. This program was co-designed with input from 50,000 customers and is built around ICONS, the loyalty currency members earn when they shop to unlock rewards, special offers and exclusive experiences. Members progress through 4 status levels with higher levels unlocking greater benefits and faster earning. The Front Row is helping us recognize and retain our highest value customers, which deepens loyalty and drives higher order frequency. This supports ANZ's growth agenda, which also includes greater geographic penetration and increased cross-category shopping. In parallel, we continue to drive profitability through scale, ongoing fulfillment optimization and leveraging technology and AI. Turning now to LATAM. 2025 was a year of continued recovery. NMV returned to growth for the full year and LATAM became adjusted EBITDA profitable. We did see LATAM's momentum moderate in the second half. This was partly due to slightly stronger year-over-year comparators and partly due to a more challenging market and competitive environment. Though active customers ended 2025 down 2% year-on-year, LATAM saw higher order frequency and average order value, which reflected our focus on higher-value customers. LATAM's margin profile strengthened with gross margin improving to 44%, up 1 percentage point year-on-year and adjusted EBITDA reaching 1%, up 5 percentage points. Next, we'll cover the strategic drivers for LATAM that have laid the foundation for profitable growth. First, we are changing how we engage with our customers. We have started to refresh our cash back program to increase customer loyalty. We're promoting Club Dafiti, which is where shoppers can access personalized rewards and exclusive promotions. It's highly effective in keeping our high-value customers engaged and coming back to Dafiti. Second, we are scaling our brand partner proposition. A major piece of this is our Fulfilled by offering, which launched in 2024 and now has over 60 brand partners live. We saw 4x more revenue from Fulfilled by in 2025. It is a true win-win where brands leverage our fulfillment network to grow while we monetize our automated fulfillment center capacity. Our partner services go beyond logistics. We have been growing our marketing services with revenue up 42% in 2025 and our revenue per session doubling in Q4. 2025, we also rolled out financing to support our partners' working capital needs while simultaneously optimizing our cash flows. Finally, we are deploying AI-generated product imagery at scale. This reduces our reliance on traditional studio photos and gets products online much faster. This new workflow is about 30% faster. And as we scale it, we expect it to cut production costs by around 2/3. All of these initiatives are building a more resilient and profitable foundation for us in LATAM. Let's now turn to SEA. In 2025, we continue to see the rate of decline steadily ease even as the top line remain challenging. By Q4, NMV was down 10% year-on-year compared to 15% in Q3. SEA's revenue declined less than NMV for both Q4 and the full year. This was a result of improved marketplace commissions and stronger contribution from platform services. Our SEA business is now operating with a more favorable margin mix and leaner cost base. As we work through our initiatives to stabilize demand, SEA is well positioned to translate any return to growth into stronger profitability. To drive stabilization, we are focusing on sharpening our customer proposition while driving simplification and efficiency to progress toward profitable growth. This includes focusing on our top-performing brand partners. In 2025, more than 60% of SEA's NMV came from our top 30 brands. To support this, we have refined our assortment. In retail, we have reduced our intake by 28% from 20% fewer brands since 2023. On our Marketplace, we have reduced long-tail complexity, resulting in a 20% increase in NMV per brand compared to 2023. Alongside our assortment strategy, platform services continue to scale and be an important growth lever for SEA. Our single-stop solution, which is part of our operations services has generated 48% higher revenue in 2025 versus 2023 on a constant currency basis as it enables sales for brand.com and other channels in 2025. An exciting recent development in Q1 is the launch of our Got You Looking in SEA. We took our learnings from ANZ and adapted the masterbrand for ZALORA. Got You Looking is now live across all of our channels. It is designed to demand attention and improve brand preference, drive higher quality traffic and ultimately rebuild a healthier, more profitable customer base over time. Finally, we are continuously driving simplification and efficiency across the business. We successfully reduced SEA's total cost base by 19% on a constant currency basis and released EUR 29 million in working capital since 2023. Altogether, these actions give us a solid foundation in SEA as we progress towards sustainable, profitable growth. I will now hand it over to Helen to take you through the group results and outlook.
Helen Hickman: Thank you, Christoph and good morning, everyone. I'll start with customers. At the end of 2025, our active customer base was down 4% year-on-year as we continue to prioritize profitable customer acquisition, engagement and reactivation. This strategy includes engagement initiatives that encourage cross-category shopping, app usage and loyalty program participation. These initiatives in ANZ and LATAM have successfully offset headwinds in SEA to result in a 2.3% increase in group order frequency. In 2025, we generated over EUR 1 billion in NMV, with Q4, our key trading season contributing about 1/3 of the full year. Whilst our full year and Q4 NMV were broadly stable on a constant currency basis, our reported figures were significantly impacted by FX headwinds. Specifically, the Australian dollar and Brazilian real were weak against the euro in '25, both down about 7% year-on-year. With Australia and Brazil being our 2 largest markets, this translated to a lower euro reported value for our NMV and revenue. Our average order value increased in constant currency terms for both the full year 2025 and Q4, offsetting lower volumes in SEA, which drove the group year-on-year decline. The order value increase was driven by inflation, along with a combination of a higher price point assortment and regional mix. Now turning to revenue and margins. We increased our adjusted EBITDA by EUR 27 million against the backdrop of broadly flat constant currency revenue to turn the group full year positive for the first time within our current footprint. Now let's take a closer look at the 2 contributors to this milestone, gross margin improvement and ongoing cost and efficiency actions. Starting first with gross margin improvements. Over our reset period, we have successfully reduced our overall inventory position by 43% on a constant currency basis from the end of 2022 to the end of 2025. We've achieved a healthier inventory profile by reducing discount through a more relevant assortment, increasing inventory turnover and decreasing our share of aged inventory by 10 percentage points. This, combined with a steady increase in Marketplace and Platform Services share has resulted in a 4 percentage point increase in gross margin, rising from 42% in 2023 to 46% in 2025. The second key contributor to the significantly improved adjusted EBITDA position is ongoing cost discipline. Our cost efficiency programs have been a crucial part of our business reset and remain a core part of our strategy going forward. From 2023 to 2025, we've reduced our total cost base by EUR 106 million, representing a 16% reduction on a constant currency basis. This cost reduction has more than doubled the pace of our 7% NMV decline over the same time period. The largest saving came from fulfillment. 2/3 of the reduction was as a result of our own initiatives where we captured efficiencies, including from automation and the order warehouse management system, OWMS, that we implemented in ANZ last year. Another 20% was due to reduced volumes and the remainder related to external factors such as FX. We also delivered significant savings across tech and admin. We continue to streamline our organizational structure along with ongoing reviews and negotiations of all our non-people costs. Across all cost lines, we've reduced our headcount by over 40% over the past 3 years. Together, our 4 percentage point gross margin expansion and EUR 106 million cost reduction have enabled us to reach our milestone of becoming adjusted EBITDA profitable. Turning to our cash. Our normalized free cash flow improvement in 2025 was primarily driven by the EUR 27 million increase in adjusted EBITDA. Lease costs remained broadly stable year-on-year. Working capital moved towards neutral as we cycle the one-off timing benefits seen in 2024. We delivered a CapEx reduction of EUR 16 million following the completion of the OWS (sic) [ OWMS ] investment and ongoing rationalization of our broader technology spend. After adjusting for operational tax and interest, we had a normalized free cash outflow of EUR 32 million, representing a EUR 10 million improvement compared to 2024. In Q4, we generated EUR 46 million of normalized free cash inflow. As a reminder, our cash flow cycle is highly seasonal, generating significant cash flows in Q4, our key trading season and experiencing significant outflows in quarter 1. We closed 2025 with a strong liquidity position of EUR 185 million in pro forma cash and EUR 143 million in pro forma net cash. Pro forma net cash deducts our outstanding EUR 41 million convertible bond liability and other small levels of third-party borrowing. Throughout 2025, we strengthened our balance sheet by repurchasing EUR 13.8 million in aggregate principal amount of our convertible bond, bringing our total repurchase volume at a discount to 89% of the original issue. We have 2 significant funding events taking effect in quarter 1, which I'd like to overlay against our closing December 2025 cash position. Firstly, following bondholders exercising their right to redeem at par on the 16th of March, we will redeem EUR 31.8 million, which is about 3/4 of our outstanding convertible bond. This will leave EUR 9.1 million of the bond outstanding at an attractive terms of a 1.25% interest rate maturing in March 2028. After this redemption, based on the December 2025 balance, this will leave us with EUR 153 million in pro forma cash. Secondly, we increased our funding flexibility through a new credit line. In December, our ANZ business signed a EUR 17 million revolving credit facility to efficiently manage our seasonal working capital needs. When combined with our undrawn funds from our facility with HSBC, we have EUR 23 million in additional available funding. This brings our total adjusted available liquidity position for year-end 2025 to EUR 176 million. This represents a strong financial foundation and significant headroom we have to support our next phase. We're also pleased to announce this morning the launch of a EUR 3 million share buyback program. The repurchased shares are expected to be used to partially meet our ongoing share-based employee remuneration scheme. Now let's look forward to our outlook, starting with guidance for 2026. For NMV, we expect a range of negative 4% to positive 4% on a constant currency basis. As at December 2025 closing effect rates, this translates to EUR 0.99 billion to EUR 1.07 billion. The global macroeconomic environment remains highly volatile, compounded by ongoing geopolitical tensions with distinct macroeconomic factors impacting demand across the 9 countries where we operate. Specifically, our 2 largest markets face near-term headwinds. In Australia, weak consumer sentiment is driven by recent interest rate increases and persistent inflation. Whilst in Brazil, higher interest rates remain and the upcoming general election and World Cup add additional volatility considerations. Our NMV guidance reflects softer current trading and half 1 expectations as well as different half 2 trajectories to account for these dynamics. For adjusted EBITDA, we expect EUR 15 million to EUR 25 million, again at closing December FX rates, building on the EUR 9 million we delivered in 2025. CapEx and leases are expected to be broadly in line with 2025 levels. For working capital, we expect a slightly higher inflow than we delivered in 2025. Our strategy to deliver profitable growth remains unchanged and is built on 3 key pillars. Firstly, business model evolution. We continue to create our assortment across retail and marketplace while scaling our brand partner offerings through our platform, including expanding Operations by, Fulfilled by and Marketing by GFG. This platform mix shift continues to support our evolving business profile towards a gross margin in excess of 47%, 45% Marketplace share and 5% Platform Services share, whilst maintaining broadly neutral working capital. Secondly, the customer flywheel. We are continuously refining our customer strategy with a clear focus on quality and profitability. This means disciplined engagement initiatives, stronger adoption of our loyalty programs and using AI across the entire customer journey. These actions will drive order frequency growth and improve customer economics, whilst keeping marketing investment broadly stable at 7% of NMV. Thirdly, cost efficiency. We will remain focused on cost and capital discipline. As we grow, we create operating leverage from our existing assets, particularly our fulfillment network without requiring significant incremental investment, which keeps CapEx and lease costs broadly stable. Technology and AI are embedded in our operations, helping us execute faster, improve customer experience and remain resilient through market volatility. In summary, applying these 3 pillars through our research phase has established a stronger financial foundation. We will continue to execute this strategy to deliver NMV growth, adjusted EBITDA margin expansion and normalized free cash flow breakeven. We will now open the call to your questions. [Operator Instructions]
Operator: [Operator Instructions] Our first question is from Anne Critchlow from Berenberg.
Anne Critchlow: I've got 3 to start us off, if that's okay. First of all, please, could you comment on how much weaker trading was in January and February compared to Q4? And then secondly, if you could just comment on the behavior of customers in the last few days. I think in the past, we've seen a sudden drop-off in sales around sort of big global crises and then a return to normal. But just wondering if you're seeing the same pattern. And then also thirdly, on the gross margin outlook, the 30 basis points improvement in Q4 was a bit lower than we've seen looking backwards. Just wondered if that's the sort of trajectory you're looking at perhaps over the year ahead and how quickly you might reach your 47% gross margin target?
Helen Hickman: Anne, I'll take the first one, pass to Christoph for the second and then come back to you, Anne, on the gross margin question. So as I mentioned, we have seen some softer trading in January and February compared to where we were in Q4. We've seen sort of a declining customer sentiment in Brazil and Australia at the start of the year. And also, we've also had the classic timing impact of some key seasonal events. So whilst the Q4 as a whole, there will be less of an impact within the months, we've seen a shifting of Chinese New Year and Carnival in Brazil, which also has an impact on January and February to date.
Christoph Barchewitz: Yes. And just over the last few days, I guess you're referencing, obviously, the headlines and events in the Middle East. We haven't seen any substantial deterioration beyond what Helen just said. And also the year-on-year comparisons are impacted by the timing. So there's a bit of difficulty in really parsing through day-by-day numbers but there is no material drop off or something that we have seen in the context of past events around COVID or other major moments. So that is not happening.
Helen Hickman: And then moving on to gross margin. So yes, obviously, our Q4 year-on-year improvement was softer than the full year as a whole, so the full year stepping forward 1.5 percentage points. We very much continue to expect gross margin expansion into 2026, albeit probably slightly lighter than the full year that we saw in 2025. And also I sort of caution that, that won't necessarily be equal improvements every quarter. But again, our strategy continues and we expect to see those improvements driven by increased marketplace and platform services participation and also continued focus around our retail and our assortment.
Operator: Our next question is from Russell Pointon from Edison.
Russell Pointon: Congratulations on the results. Three questions, if that's okay. First of all, you referenced the active customer declines in LATAM in Q4 and that's due to competitor activity. Could you just talk a bit more about that? Was it focused across certain categories? Or was it fairly broad-based? And my second question is for LATAM and Southeast Asia, you're highlighting that you're near cash flow breakeven. I appreciate that you're expecting EBITDA to improve in those regions over time. But are there other levers that can help you to generate more positive free cash flow? I assume there's still something to go on inventory. And my third question is finally just in terms of the medium-term guidance, it isn't in the presentations deck. So can you just reconfirm that the medium-term targets of 6% EBITDA margin and breakeven free cash flow? And perhaps looking back versus 12 months ago, how are you tracking versus what you probably expected 12 months ago?
Christoph Barchewitz: Yes. Thanks, Russell. Maybe I'll start here and then Helen can build on that. So on the active customer, general comment, I would say is, it's obviously important to recognize, #1, it's an LTM number. So it's always a bit of a lagging indicator. And we've obviously seen that when you look at, for example, the ANZ evolution over time. And as we're going through, for example, the turnaround in Southeast Asia, we would expect to have NMV lead the recovery before it comes fully through in the active customer, partially because of the LTM and partially because of our focus on higher-value customers and the very disciplined approach around customer activation, both new acquisition and reactivation. So from a LATAM perspective, it is a function of our approach and the competitive environment and us being disciplined in protecting both the gross margin and the marketing cost at a level that we think is ultimately the optimum from a profitable journey going forward. To answer the second part of your -- or second question around LATAM and Southeast Asia, yes, we're near normalized free cash flow breakeven, which I think clearly indicates we're not doing much on the CapEx side, as you can see from the group number but it's particularly in those 2 regions, it's really a modest investment into technology. We have obviously the leases that go into a normalized free cash flow and we've been releasing a degree of working capital, in particular, in Southeast Asia to counter the decline in the top line. And the working capital will not repeat in that way. We think there's a bit more to go in Southeast Asia on that. We're very optimized in LATAM, if not maybe a little bit light on the working capital. We will continue to look at all ways of optimizing cash flow but the big driver is really the EBITDA at this point and that's where we want to push in those 2 regions to move higher. And then maybe coming back to the medium-term guidance question around margin. We still believe that we need somewhere around that 5%, 6% or so level of adjusted EBITDA margin. But I think we've chosen to kind of look at the building blocks slightly differently and really focus on the absolute EBITDA, the stable leases, the stable CapEx and generally neutral working capital, although as Helen said, this year, we do expect a bit of cash inflow from the working capital side. So maybe the nuance here is less driving this off the percentage margin and really more looking at the absolute building blocks into moving towards cash flow -- normalized free cash flow breakeven. Hope that helps.
Operator: [Operator Instructions] And we have a follow-up question from Anne Critchlow from Berenberg.
Anne Critchlow: So I've got 3 follow-ups, if that's all right. And firstly and what steps did you take to focus on higher-value customers? I'm just wondering what that looks like in practical terms. And then secondly, just an update on your AI strategy and the extent to which you're allowing bots on to your site and maybe supporting them to find information. I'd also be really interested to hear your thoughts on how marketplaces can remain relevant in an AI world, lots of discussion around that topic recently. And then finally, just on Southeast Asia. Just wondering what sort of time frame you're thinking about to reach profitability?
Christoph Barchewitz: So I'll take the first 2 and then let Helen answer the SEA profitability question. So on the higher-value customers, what it really means is, like every business, we have a very broad range of customer base from people who shop with us literally every other week, very high frequency, very high loyalty, buy both full price and discounted during campaigns and have been with us for many, many years. We're very focused on retaining those customers and giving them value at every part of the journey. And the Front Row program in Australia is a way of doing that in a very tangible way. We have our ZALORA VIP program in Southeast Asia. We're working through a number of initiatives in LATAM around this as well. So this is really focusing on, let's say, the top 25% of the customer base where most of the value comes from in NMV but more importantly, a very, very large share of our profit is really generated. So that's one end of the initiatives. And the other end of the initiatives is to really look at the customers that are not profitable for us and within that to identify how we can either move them into a profitable position and levers there are around shipping fees, they're around the marketing channels that we use. They're around how we trigger conversion from first-time buyers to second and third purchase because we know that once we have 3 purchases, our loyalty forecast is very, very strong. And so it is really both ends of the distribution, if you want, where we're applying. And I think what we're not saying here is we're only going to focus on higher-value customers. We recognize there will always be a distribution but we're trying to tilt the distribution upwards. And as you can see, for example, from the gross margin per active customer improvement of 14%, this is also about moving those numbers forward. So there's a marketing side to this and a marketing efficiency side to this whole strategy but there's also a gross margin per active customer element to this and making sure that, in particular, our discounts are targeted at customers that are loyal or can become loyal versus just churning through and taking advantage of a deeply discounted product but are not actually staying on the platform. So I hope that gives you a bit of color around our customer strategy. The AI topic is definitely very, very high up on the agenda. Our strategy so far is to make sure that our visibility across all of the AI players is strong. We're digitally native. We have 15 years of history of optimizing for that visibility. We have a very large assortment. We have a very well-known brand. And in all of the searches that you can do on those platforms, we come up quite well when people are looking for fashion products, categories, specific trends, those types of things, we are doing already quite well but we're continuing to focus on that and making sure that we're ready for an increase in the traffic coming from those players. So far, this is a very low single-digit percentage across all of our markets. So we're still very early in actually seeing a change in traffic there in our category. How are we addressing the question around the role of platforms in an AI world? I think we generally believe that we are an AI winner, not an AI loser. And obviously, there's a lot of debate in the investor community around that. But we see ourselves as an AI winner. Why is that? #1, because we're digitally native and technology enabled. And so we have a 15-year history of adapting to technology, deploying new technology for the benefit of our brand partners and customers. And we are doing that currently. We've been doing that over the last couple of years. So this is our natural, let's say, playing field. #2, we think that we have always seen players up the funnel that are playing a role in customers coming to our platform. And frankly, this was a fairly concentrated universe of basically 2, 3 companies driving this in all of our markets. So to some degree, more competition in that, let's say, discovery layer is actually, we think, not a bad thing. And we will -- we are looking very actively at both deeper integration and deeper partnering with those players but also where we want to restrict and make sure that we protect our customer base, our organic traffic, those types of things. It's an evolving topic. We are all over it and very, very focused on it because it is a critical driver of the future. In the end, we're in fashion, which we think is a not purely transactional category but we're browsing, discovery, inspiration, entertainment plays an important role. And we have a very large physical component to delivering to the customer. And that side, I think, is very far away from being disrupted by any LLMs or other AI players. And so that side of building the assortment and then making it available with fast delivery, with easy returns, with a trusted player is something that we believe is very important. But just to be clear, we [ believe ] both the discovery funnel up to the checkout and the post-checkout experience is something that we will continue to own and benefit from the adoption of AI by our customers but also throughout our business. Helen, you want to cover the SEA question?
Helen Hickman: Yes. Thanks, Christoph. And in your question, you asked when we think SEA will become profitable. So on an adjusted EBITDA basis, SEA turned profitable this year. So it stepped forward close to EUR 5.5 million year-on-year despite the full year NMV decline of 15%. So that's sort of a two-pronged approach around gross margin accretion and then also a disciplined focus around cost. We very much go into 2026 with that same approach, focusing around how we improve our gross margin within the region, also maintain a strong focus around cost discipline whilst we then work very much to turn the rate of decline in the region and to slow that and to ultimately move to growth within the region. Hopefully, that helps.
Anne Critchlow: That does. And sorry, a quick follow-up on that. Could you comment also on free cash flow outlook for Southeast Asia?
Helen Hickman: Yes. So like all of our regions, our focus very much is to continue to improve their cash position predominantly through improved sustainable profit. So the way Christoph, I think described to an earlier question with the overall structure, it's very much focused around how we improve profit whilst we maintain a disciplined level around CapEx, leases and a slightly favorable working capital position. SEA fits very much in that same framework as we see the evolution of the group.
Operator: It appears there are currently no further questions over the phone. With this, I would like to hand over for any webcast questions.
Unknown Executive: So we have a few questions about SEA, specifically, at what point do you expect the SEA top line to stabilize? And what is the competitive strategy against intensifying regional players as well as when do you expect the decline in customer numbers to turn around? So we'll start there.
Christoph Barchewitz: Yes. So it's obviously hard to predict the timing. But I think from a NMV stabilization, we're looking at it sequentially. As you heard earlier, we have improved from the minus 15% in Q3 to the minus 10% in Q4 and that was clean in terms of the like-for-likes, in terms of the phasing. We now have obviously Q1 in which we have quite a few changes, like Helen mentioned around the real and the Chinese New Year seasonality. And so there's a bit of differences there but we are looking at it really from that perspective. We're planning conservatively for the year to make sure that we are not overstocked. But we do think that we are moving gradually towards a positive territory but that's definitely still a few quarters away given that we're coming from minus 10% in Q4. The active customer number will be lagging and it's also impacted by us focusing on the higher-value customers. So what we would expect is that you see improvements in NMV first and then the active customers kind of following that eventually but instead really driving order frequency and average order value as a way of returning to NMV growth. Competitive strategy is very much focused on our assortment differentiation. So the most relevant brands, driving exclusivity within the brands, so having access to segmented product, brands that are only available on our platform and the dot-com. We also have obviously differentiated experience on the app, especially relative to the general merchandise platforms, which are the main online competitors. And our overall customer engagement is obviously very fashion-centric. The Got You Looking campaign is really stressing that point of differentiation by really being about fashion, style in all aspects of life and about the emotional part of our product category, not focused on price or delivery promise or those types of more hygiene factors that's really dialing up the fashion credibility as a platform and that's a big part of our turnaround strategy here.
Unknown Executive: Next, we have a few questions on costs. One for marketing. How much of your net cash position will be reinvested into marketing to reverse the declining trend in active customers? Overall, where do you expect to see cost reductions over the next year? And then also, could you address central costs? Do you expect this to stay flat? Or is there a specific plan to scale that down? And finally, on inventory, where do you expect to see these levels overall, those are the cost areas to cover?
Helen Hickman: Okay. Thank you. So let's start with marketing. So we expect to see our marketing percentage of NMV to stay broadly stable at around 7%, which is a trend that we've seen for the past few years. Our focus very much is in investing in marketing with regards focusing on loyalty and profitable -- and attracting our profitable customer base. I think the second question was more about our general overall cost focus and we are expecting to see cost savings into 2026. The answer to that is very much yes, actually broadly sort of an initiatives level. So proactive things that we are doing at sort of at a similar level to that, that we've seen in 2025. Areas of focus continue to be fulfillment, which is a large cost base but we feel there's more efficiencies within the overall fulfillment network. We continue to optimize and streamline our corporate organizational structure. And also, obviously, activities that we implemented towards the back end of 2025 also flow through into an annualization benefit and we'll see the benefit of that coming into 2026. I think there was a specific question with regards our central costs, which are at an adjusted EBITDA level, about EUR 22 million. These consist of both corporate and admin costs, so people and non-people fees but also include our central tech teams of which the majority of the work and focus is supporting our regional platforms. So whilst it's included within our other segments, it's worth noting that they're purely for the benefit of the regional operations. We've seen these costs come down by about 20 -- 10%, sorry, year-on-year and over a 2-year basis, closer to 20%. So the same rigor around organizational structure and nonpeople cost review has been applied to the central costs as it has been, as you'd expect in our regional businesses. And then lastly, on inventory. So we've seen significant declines in inventory over the past 3 years. We expect that very much to stabilize into the future, especially as we then start to build the top line. So we will have to invest in inventory to build and rebuild an retail NMV. However, our focus very much is around efficient assortment. So how we manage the retail and marketplace mix, how we ensure that we've seen improved turns on our inventory and how we maintain that. And also how we keep our aged inventory at levels that we feel comfortable because, again, we've significantly reduced the proportion of our aged inventory over the last couple of years.
Unknown Executive: The next question we have is, you say you can double NMV without material additional investment in infrastructure. What does that imply for incremental EBITDA margins? And is that the basis for your medium-term margin ambition?
Christoph Barchewitz: Yes. So this is definitely one of the key opportunities. I think for anyone who's been following us for a longer time, we've been very clear that we have significant capacity in our infrastructure, especially in LATAM and in Southeast Asia, which we're obviously trying to leverage through growing the top line but also through shifting more to Fulfilled by and in Southeast Asia services for brand partners and sales that are not on our platform. We do expect that when -- if you were to get to the scale that is mentioned in this question, we would be definitely materially more profitable than we are today because the incremental flow-through from that NMV and that volume would help our fixed cost coverage in fulfillment but also in other aspects of the business quite materially. But equally, as you know from our guidance and the building blocks we've talked about, we are not saying that we need a couple of hundred million euro of incremental NMV to achieve normalized free cash flow. So just want to be very clear about that. We think we're on a good journey. Obviously, if we can get to the upper end of our guidance range this year, we would be closer to that. If we're at the lower end on top line and adjusted EBITDA, we'd be a bit further away from that. So I hope that gives you a bit of color of how we think about the path here.
Unknown Executive: Next, we have a few questions around 2026 guidance, specifically on ANZ, is customer growth accelerating? And is that underpinning the top end of your guidance range? And then can you elaborate on the different H2 dynamics regarding NMV growth? If January and February are starting somewhat slower, should we be interpreting this as a warning sign for the year?
Helen Hickman: Thank you. So let's firstly touch on Australia. So yes, we're expecting a continued positive trend in our Australia active customers and this being off the back of our focus around customer engagement. So the continued Got You Looking campaign and then the more recently launched loyalty program, Front Row, that was launched back end of the quarter 4 and that gaining momentum into 2026. With regards guidance and half 2, so our 2 largest markets do face near-term headwinds. So as I mentioned, in Australia, we're seeing weaker customer -- consumer sentiment that was driven by a recent interest rate increase and we're seeing persistent inflation. And in Brazil, we're seeing -- continue to see high interest rates and also is the uncertainty in the middle to back end of the year of the upcoming general election in Brazil. We've also got a general election in Colombia in May and the World Cup, which adds additional volatility. I would say that -- those scenarios are obviously built into our guidance of today of minus 4% to plus 4%. And obviously, it depends on both those big markets but also our rate of reduction or NMV decline and then this -- the rate of that turnaround in SEA also plays into the ability for us to achieve within that range or the pace with which we have achieved in that range.
Unknown Executive: We have no further questions on the webcast. So thank you all for joining today. If you have any further questions, please reach out to the Investor Relations team directly.